Operator: Good morning, everyone, and thank you for participating in Magnolia Oil & Gas Corporation's Third Quarter 2023 Earnings Conference Call. My name is Marliese, and I will be your moderator for today's call. At this time, all participants will be placed in a listen-only mode as our call is being recorded. I will now turn the call over to Magnolia's management for their prepared remarks, which will be followed by a brief question-and-answer session. Please go ahead.
Jim Johnson: Thank you, Marliese. Good morning, everyone. Welcome to Magnolia Oil & Gas' third quarter earnings conference call. Participating on the call today are Chris Stavros, Magnolia's President and Chief Executive Officer, and Brian Corales, Senior Vice President and Chief Financial Officer. As a reminder today, today's conference call contains certain projections and other forward-looking statements within the meaning of the federal securities laws. These statements are subject to risks and uncertainties that may cause actual results to differ materially from those expressed or implied in these statements. Additional information on risk factors that could cause results to differ is available in the company's annual report on Form 10-K filed with the SEC. A full safe harbor can be found on Slide 2 of the conference call slide presentation with the supplemental data on our website. You can download Magnolia's third quarter 2023 earnings press release as well as the conference call slides from the Investors section of the company's website at www.magnoliaoilgas.com. I will now turn the call over to Mr. Chris Stavros.
Chris Stavros: Thanks, Jim, and good morning, everyone. We appreciate you joining us today for a discussion on our third quarter 2023 financial and operating results. I plan to briefly speak to our latest quarter, then review some of our team's accomplishments this year and reducing costs associated with our capital program. We'll also discuss how we've allocated our free cash flow over the last three years and noting how our shareholders have benefited from the increase to our free cash flow profile through consistently strong cash returns. I'll finish up by providing some broad comments around Magnolia's 2024 capital and operating plan. Brian will then review our third quarter financial and operating results in greater detail and provide some additional guidance before we take your questions. As we've previously outlined, Magnolia's primary objectives are to be the most efficient operator of best-in-class oil and gas assets and generating the highest return on those assets while employing the least amount of capital for drilling and completing wells. We also strive to return a substantial portion of our free cash flow to our shareholders in the form of share repurchases and a secure and growing dividend.Finally, we plan to utilize some of the excess cash generated by the business to pursue attractive bolt-on oil and gas property acquisitions. The acquisitions are targeted to not simply replace the oil and gas that has already been produced, but importantly, to improve the opportunity set of our overall business, enhance the sustainability of our high returns and increase our dividend per share payout capacity. Magnolia continued to execute its business model, delivering solid operating and financial results during the third quarter and consistent with the principles that help us achieve our overall goals. Our third quarter production volumes at [82.7 thousand] (ph) barrels of oil equivalent per day established a new quarterly record for the company with our Giddings asset driving overall growth both year-over-year and sequentially. Giddings continues to represent a greater proportion of total company production now comprising approximately 75% of our total volumes. Our D&C capital spending of $104 million during the quarter was only 44% of our adjusted EBITDAX, leading to free cash flow generation of approximately $128 million and our solid operating income or EBIT margins of 47% were indicative of our focus around reducing overall costs. Looking at Slide 3 in the earnings presentation found on our website, our proactive efforts taken early this year toward elevated materials and oil service costs have allowed us to capture significant reduction in total cost per well and lower our overall capital spending this year. Our original guidance and outlook called for D&C capital spending of approximately $505 million during 2023. Both the supply chain and D&C teams worked collaboratively with our materials vendors and service partners to reduce costs while maintaining continuity of supply and the consistency of high-quality crews and services. These cost reductions are expected to result in 15% lower capital spending this year or savings of $75 million compared to our original outlook. We now expect our full year 2023 D&C capital to be approximately $430 million, which represents a 7% reduction to our 2022 capital levels while still delivering year-over-year organic production growth of 8%. Point to point, our cost for drilling a similar well in Giddings are currently down about 20% compared to the end of 2022. And said another way, the cost reductions achieved this year effectively allows us to drill and complete more wells at lower cost and provides us with greater capital flexibility around our drilling program into next year. The lower well costs ultimately help to reduce our F&D costs leading to higher operating margins and improved free cash flow. Turning to Slide 4. This shows Magnolia's production growth and how we've also allocated our free cash flow after capital spending during the last three years. Over this period, Magnolia has generated more than $1.7 billion of free cash flow, returning approximately 60% of this to our shareholders through dividends and share repurchases. Magnolia has repurchased approximately 23% of its outstanding shares since the initiation of our share repurchase program. Roughly $700 million of the free cash flow generated by the business during this time accrued to the balance sheet putting Magnolia in a net cash position. We expect to return approximately 70% of our full year 2023 estimated free cash flow to shareholders in the form of share repurchases and dividends. A portion of the accumulated cash was used during the past year to execute on several small accretive bolt-on oil and gas property acquisitions, primarily around our Giddings asset. One example includes our most recent transaction we announced in September and which is expected to close by the end of this month. This opportunity improves our overall business by adding high-margin oil-weighted production while also enhancing the depth of development locations in both the Eagle Ford and Austin Chalk formations. The transaction brings our total Giddings acreage position to more than 0.5 million net acres with a current development area of more than 150,000 net acres. We plan to hold this asset into our existing Giddings assets, which will be included as part of our 2024 development plan. This is an excellent example of our strategy to pursue small bolt-on assets adding to our high-quality bench and leveraging the significant knowledge we have gained through operating in the Giddings field to enhance our per share metrics and improve the overall business. As we look towards 2024, our strategy will remain largely unchanged. We are well positioned with a strong balance sheet, a significantly improved cost structure and a larger footprint in the Giddings field allowing for efficient development, which should continue to drive our high-return production growth. We currently plan to operate two drilling rigs and one completion crew into next year and remain fully unhedged to product prices. Lower costs for drilling and completing wells as part of these initiatives, which I spoke to earlier, in addition to efficiency gains, is expected to provide a moderate increase in our D&C activity in 2024 while allowing for flexibility within our program. Assuming current product prices, we expect to spend less than half of our EBITDAX for drilling and completing wells in 2024, which should deliver high single-digit year-over-year total production growth, with our total oil production expected to grow at a similar rate. Magnolia's strategy will continue to be guided by our founding principles of low debt, high operating margins, capital discipline, moderate growth and significant free cash flow generation. Utilizing this framework allows the business to continue to achieve moderate annual growth while providing a sizable steady and growing return of cash to our shareholders. We believe this model will provide an increase to our per share value over time. Magnolia is expected to exit the year on a high note, but financially strong with an improved asset base and confident in our plan for 2024. And I'll now turn over the call to Brian to provide more details on our third quarter financial and operating results.
Brian Corales: Thanks, Chris, and good morning, everyone. I will review some items from our third quarter results and refer to the presentation slides found on our website. I'll also provide some additional guidance for the fourth quarter of 2023 as we closed out a strong year from Magnolia. Beginning with Slide 6. Magnolia delivered an excellent quarter as we continue to execute on our business model. During the third quarter, we generated total GAAP net income attributable to Class A common stock of $102 million with total net income of $117.5 million or $0.56 per diluted share. Our adjusted EBITDAX for the quarter was $239 million with total capital associated with drilling, completions and associated facilities of $104 million or just 44% of our adjusted EBITDAX. Third quarter production volumes grew 1% sequentially to [82.7 thousand] (ph) barrels of oil equivalent per day. During the third quarter, we repurchased 2.5 million shares and our diluted share count fell by 4% year-over-year. Looking at the quarterly cash flow waterfall chart on Slide 7. We started the third quarter with $677 million of cash. Cash flow from operations before changes in working capital was $217 million, with working capital changes and other small items impacting cash by $13 million. During the quarter, we allocated $57 million toward share repurchases and paid dividends of $26 million. We added $73 million of bolt-on acquisitions, which included a $23 million deposit on the acquisition we announced in September, and we ended the quarter with $618 million of cash. Looking at Slide 8. This chart illustrates the progress in reducing our total outstanding shares since we began our repurchase program in the second half of 2019. Since that time, we have reduced our total diluted share count by 59.4 million shares or approximately 23%. Magnolia's weighted average fully diluted share count declined by more than 2 million shares sequentially, averaging 209.1 million during the third quarter. We have 11.7 million shares remaining under our current repurchase authorization, which are specifically directed towards repurchasing Class A shares in the open market. Turning to Slide 9. Our dividend has grown substantially over the past few years, including a 15% increase announced earlier this year to $0.115 per share on a quarterly basis. Our next quarterly dividend is payable on December 1 and provides an annualized dividend payout rate of $0.46 per share. We plan to reevaluate our current annual dividend rate early next year based on our 2023 financial results. Our plan for annualized dividend growth of at least 10% is an important part of Magnolia's investment proposition and supported by our overall strategy of achieving moderate annual production growth and reducing our outstanding shares by at least 1% per quarter. Magnolia has the benefit of a very strong balance sheet, and we ended the quarter with a net cash position of $218 million. Our $400 million of gross debt is reflected in our senior notes, which do not mature until 2026. Including our third quarter ending cash balance of $618 million and our undrawn $450 million revolving credit facility, our total liquidity is approximately $1.1 billion. Our condensed balance sheet and liquidity as of September 30 are shown on slides 10 and 11. Turning to Slide 12 and looking at our per unit cash costs and operating income margins. Total revenue per BOE declined by approximately 36% due to the substantial decrease in product prices and especially natural gas prices when compared to the third quarter of 2022. Our total adjusted cash operating costs, including G&A, were $10.68 per BOE in the third quarter of 2023, a decrease of $2.39 per BOE or 18% compared to year-ago levels. The year-over-year decrease was primarily due to lower production taxes, GP&T and G&A. Our operating income margin for the third quarter was $19.49 per BOE or 47% of our total revenue. The year-over-year decrease in our pretax operating margin was driven by the significant decrease in commodity prices. Turning to guidance for the fourth quarter. We are currently operating two drilling rigs and plan to continue this level of activity through the end of the year. We expect D&C capital for 2023 to be approximately $430 million, which represents $75 million reduction or 15% from our original guidance this year. Despite lower capital spending, we are increasing our full year 2023 organic production growth guidance to 8% or 9% when including the acquired volumes. For the full year 2023, we expect our effective tax rate to be approximately 21%, with most of this being deferred. Our cash tax rate is expected to be between 6% and 9% for 2023. Looking at the fourth quarter of 2023, we expect the recently announced transaction to close in November and help contribute to our fourth quarter volumes. We expect total production volumes to be approximately 85,000 MBOE a day, and our D&C capital is estimated to be approximately $100 million. Oil price differentials are anticipated to be a $3 per barrel discount to MEH. Our fully diluted share count for the fourth quarter is estimated to be approximately 207 million shares, which is 4% lower than year ago levels. We are now ready to take your questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Neal Dingmann from [SunTrust] (ph). Neal, please go ahead.
Neal Dingmann: Morning, all. Congrats on another good quarter. Chris, my first question is just on your '24 expectations. Specifically, you all suggest that the '24 operating plan will be, again, assuming the price is about the same, will be similar to this year. So as such, I'm just wondering, could you speak to the potential for the BOE and BO production growth, assuming kind of a similar type of plan, maybe just the generalities behind those two?
Chris Stavros: Yeah. Thanks, Neal. Sure. The BOEs, I expect the plan to be broadly similar, as I said, we'll go into the year running two rigs, operating two rigs and the completion crew. And I expect that, that will go fine. Not going to be -- you shouldn't look for magnitude shifts in terms of activity or capital or whatnot. These are more sort of around the edges. But as you've seen, we've done a lot in terms of some things in terms of acquisitions. And as we pointed out, we'll fold some of that into the activity next year purposefully not only to sort of see how it's going to go, which we have a lot of confidence around to begin with, but also to see how much more of it we want to continue to fold in with time. But I'm quite optimistic that we've done some things here and based on our plan as well that largely arrest any issues around the oil production if that's been an issue. But I fully expect the oil production to sort of climb at a similar rate as we talked about relative to our overall BOE growth. So if we said sort of high single digits on total BOE volume growth, I would expect to see something similar for oil production too.
Neal Dingmann: Great details, Chris. And just a quick second question. I was curious if you all can maintain your industry-leading reinvestment rate going forward, obviously, it's very notable, which you’ll continue to be able to spend well under 50%. I'm just wondering maybe you could just talk a little bit about that going forward, given how well it continues to be.
Chris Stavros: I think we can. I think part of the -- there's a trick around this. I mean part of it is to not necessarily get overly aggressive with the money or the spending or the growth over time or weigh yourself down necessarily with large PDP adds vis-a-vis acquisitions. So our focus is to actually try to do things that enhances the capability of the organization and the business over time. So the type of reinvestment that you've seen us sort of kick out over the last several years, I don't see why that should be meaningfully different here going forward. I still anticipate us providing or creating a ceiling around our capital and reinvestment rate of the 55%, and we can grow sort of moderately within them. So I sort of see the same outcome.
Neal Dingmann: Well, that's great to hear. Thanks, Chris.
Chris Stavros: Thanks
Operator: Our next question comes from Umang Choudhary. Umang, you may go ahead.
Umang Choudhary: Hi, thank you. Good morning. Thank you for taking my questions. First, I wanted to get your thoughts around the recent acquired assets and how that compares with your legacy core? And then on my second question, now that you've doubled your development area in Giddings, how should we think about your longer-term growth rates beyond the next five years? And how should we think about your plans around double-digit dividend growth? Can you sustain that for a longer period of time?
Chris Stavros: Yeah. So around the acquisition, as I mentioned, we expect to close the transaction by the end of the month, the acquired assets included around 48,000 net acres. It came with 5,000 equivalent a day of production approximately, that was about 70% of oil. And as I mentioned, we plan to fold that into the Giddings program and to drill some wells on the acreage that will be interspersed throughout the year. And so we expect to get a lot out of it, and it was something that we viewed as quite attractive. Where it is exactly and what is it? It's sort of a little different than what we've been doing exactly in Giddings in terms of the bit of an oilier nature to it. But broadly, it's not. I would think about it as the Giddings field because it is in the Giddings field. And so there's a lot of similarities to it. So I don't expect to see anything in terms of our approach to it that are very, very different in terms of what we've been doing. I just think that it has the capability to enhance the outcome with more liquids volumes that could be a little bit better margin than what we've been seeing with gas prices certainly as weak as they've been.
Umang Choudhary: Got you. That's helpful. And then for my second question, any color you can provide in terms of how we should think about the longer-term growth rates given you believe these assets are very comparable to your core -- legacy core. And then you also have doubled your development area in Giddings. So how should we think about the longer-term growth rates beyond the next five years thinking about it from a high-level perspective?
Chris Stavros: Yes, well, on a high level, I wouldn't go out there and say because it's not really been part of our business plan to sort of seek out double-digit growth as I sort of answered the question previous. Our goal is not to grow that much faster and work ourselves out of the growth that much quicker. I think our asset base is capable of delivering the plan of that moderate mid-single-digit growth over a long period of time that I consider it sort of 5% to 8% per year. We have the ceiling on our capital. So we try to be disciplined around that and spend up to what we consider a reasonable amount to achieve those levels of growth. But could we do more? The answer is yes. Do I think it's the best and right thing to necessarily do more over the long term? Probably not. I just think that this is more than sufficient in a balanced way, a balanced approach to not only grow at a reasonable rate, generate a lot of free cash flow and return a good portion of that to our shareholders, which is what they want, while providing us with optionality to and a little bit of extra cash, if you will, to seek out other opportunities vis-a-vis small M&A to improve the business over time.
Umang Choudhary: That makes a lot of sense. Thank you.
Operator: Our next question comes from Charles Meade from Johnson Rice. Charles, please go ahead.
Charles Meade: Thank you. Good morning, Chris, Brian, and the rest of the Magnolia team there. Chris, I wanted to ask, maybe but I think it's a simple question. Since you haven't told us really what's your M&A, since you haven't given us details on these two recent acquisitions, is it a fair inference that you guys still think there's more work to do on the acquisition front around Giddings?
Chris Stavros: The answer is yes. The short answer is yes. My expanded response to this question -- look, there’s -- and what we've seen, there's lots of different types of or several different types of upstream M&A in oil and gas or approaches towards M&A that companies can participate in. The type of M&A that Magnolia engages in, which is usually a smaller variety, focused on assets where we look to improve the business by extending or expanding our competitive advantage in an area that we know and you could describe this type as a situation where the buyer may know more than the seller, not the other way around. This type of M&A also has the benefit of limiting your risk. And then there's the type of M&A that's more transformational and companies that engage in this type of M&A believe that they have either run out of time or that they're in a corner or that they need to do something big and bold in order to change or fix things. But the managements or the Boards of the companies have maybe been convinced by investment bankers that this is the best thing to do. This can obviously be riskier. With this, you either need to time the commodity price right or somehow acquire a lot of upside of the asset that wasn't factored into the purchase price. So basically buying optionality for free or at very low cost. And I think to some extent, that's what the acquirers recently with the large acquisitions feel they've done. And that's fine. And then there's M&A that might seek out some sort of diversification, meaning I've either run out of stuff to do where I currently operate or simply want to get bigger or the best way to do this is by moving into a different area that hopefully is less expensive in terms of the entry cost. The risk here is that hopefully your skills are transferable to this new area and then it's compatible with your workforce and they can figure out how to do it. As I said, Magnolia prefers to engage in the smaller bolt-on variety of M&A and mainly because we're currently not in a situation that requires us to pursue the other big and bolder types of M&A. So I believe we currently have a competitive advantage in Giddings, and we seek ways through this smaller M&A to expand that advantage. So that's sort of my longer-winded version of how to respond to the question.
Charles Meade: Well, thank you for not just giving a one-word answer to my simple question. And then my follow-up, I think, is maybe take another run at the mix question that you got earlier. Absent this most recent acquisition, which is a little earlier, you guys had been actually getting a little -- slowly getting -- the oil percentage was ticking down and natural gas and really more NGLs was ticking up. If that’s -- if you're going to hold -- if you are going to grow each of those product categories more or less equally in '24, does that mean that you guys are shifting or looking to shift activity towards more oily areas? And does that, to an extent, if that's true, does that -- is that a reflection of this oilier asset that you're bringing into the portfolio?
Chris Stavros: Not necessarily, Charles. I wouldn't read it that way exactly. I mean, some of what's happened with us in oil, as we've talked about before, I've mentioned this several times already, is that there's been a shift purposefully in activity and capital away from Karnes and Giddings because the well results in Giddings are better and the full cycle returns in Giddings are better. And so that's how we prefer to allocate the money. And so we occasionally do go back to Karnes or we'll see some non-op activity in Karnes that might bump up our oil volumes for a little bit. But broadly, the effort on our part from an operating basis level has been to spend more of the money proportionately on Giddings, and you've seen that. So that's been really what's occurred. What's going to occur here, I mean, yes, the asset, the acquisition does bring in a little bit more of oil injected into the business immediately. And the drilling plan will provide us with a little bit more oil. The goal for us is to drill the best wells and the goal for any good operator is to drill the best wells at the lowest cost and at the highest return. So I think broadly, our program is going to continue to focus on that. It will be a mix of some oil, some natural gas and timing is on the commodity necessarily is sort of a bit of a full there. So I'm not going to sort of play that game. We consistently look to drill the best wells.
Charles Meade: Got it. Thank you.
Chris Stavros: Thanks.
Operator: Our next question comes from Zach Parham from JPMorgan. Zach, you may proceed.
Zach Parham: Hey guys.
Chris Stavros: Hi, Zach.
Zach Parham: Thanks for taking my question. In the release, you mentioned strong well productivity in Giddings is a driver of the higher volume guidance. Just looking at the state data, which has its own issues, but it seems like productivity, particularly oil productivity has trended lower year-over-year in Giddings and it's down versus prior years as well. Can you just give us your thoughts on how well productivity and oil productivity in Giddings will trend going forward?
Chris Stavros: I don't expect it to change very much. I mean, one way or the other, materially compared to what we've done this year. It could be a little bit better. But I don't think it will be very different or worse going forward. I don't anticipate that. There may have been some nuances or one-offs in our program this year that drove some of that. But I would think it would be similar, if not a bit better into next year and going forward.
Zach Parham: Got it. Thanks for that. And then I had one follow-up on OpEx. LOE specifically, it was down for the second consecutive quarter, and it's down over $1 per BOE versus 1Q. Any color on how LOE should trend in 4Q and into 2024?
Chris Stavros: Yeah. Look, I think at current product prices, it should be sort of similar. There's a workover element to it that would vary if oil prices rise further relative to where they've been here very recently, that could make a difference. But this is sort of a relentless effort on our part to continue to push costs lower. I think this is sort of a good place for us to be generally. Again, there might be an occasional sort of lumpiness. But generally, I see sort of things similar at the current product price area that we're in.
Zach Parham: Got it. Thanks for the color.
Chris Stavros: Sure. Thanks.
Operator: Now we have a question from Oliver Huang from Tudor, Pickering, Holt. Oliver, please go ahead.
Oliver Huang: Good morning, Chris, Brian, and team, and thanks for taking my questions. As we kind of look into next year, beyond some, I guess, activity on the new acreage, anything that we should be keeping an eye on that might be different from what we've seen in the last couple of years, whether it's with respect to well design or spacing tweaks, any increased step-out or appraisal projects that we might want to keep an eye out for?
Chris Stavros: Not much. I mean, we -- the development program at Giddings, we'll continue that, that's delivered a lot of good growth for the company and we're producing in excess of 60,000 BOE per day now in Giddings. It's very capital efficient. It provides a lot of free cash flow. We've developed a very thorough understanding of the asset. This larger 150,000 acre development area continues to be the focus for now. And I think we sort of cited the smaller development area, and I think people got aboard with it. So it's bigger now. And I believe it will get bigger still over time through some appraisal efforts that we have that will extend into next year. And that program has already produced very positive results, and we have a large expanse to sort of go over with time, and we'll continue to get at it. In terms of completion changes or nuances around that, not a whole lot, really. I mean we continue to learn more. And what I hope is that there may be some upside to some of the new areas that we'll tackle into 2024, and we'll learn an additional or get some additional data to focus on. So maybe that provides us with some upside in terms of learning and how to approach things.
Oliver Huang: Okay. That's helpful color. And maybe just kind of switching over to the Eagle Ford. I know activity levels there have been a bit tough to pin down. But any sort of update with respect to how we should be thinking about the non-op side of things on that asset? And on the last call, you all previously spoke towards the flattish [cadence with] (ph) half of the quarter. But just kind of given the lumpy nature of a half rig, give or take, program, how should we be thinking about the volume trajectory out of that asset for next year? Is there any reason for us to kind of not expect this asset to continue declining given the current capital allocation split and drawn capital from Giddings in the near term whether respect to any sort of MVCs or anything else like that?
Chris Stavros: Yeah. I would expect it to continue to taper down based on the activity, but probably at a lesser rate than what we've seen. I mean, I think there was a more substantial dip in the non-op activity. And I'm not suggesting that that's going to change or increase necessarily. All I'm saying is that as a result of some of the lesser activity, the rate of decline has sort of tapered into -- probably into next year and recently. So it's just not much going on there on a non-op level. So a tapering, but at a lower rate.
Oliver Huang: Okay. Thanks for the time, Chris.
Chris Stavros: Thanks.
Operator: And we have a question from Paul Diamond from Citi. Paul, please go ahead.
Paul Diamond: Thank you, and good morning all. I appreciate you taking my call. Just a quick one. I'm looking forward to '24. I guess, what shift of magnitude and fundamentals would it require to really shift that '24 operating plan? Something similar to the move we saw earlier this year? Is it something more substantial?
Chris Stavros: I'm not quite sure what you're asking. Are you saying how does our '24 plan -- is how is that different from '23?
Paul Diamond: No. I guess more how -- what do you need to see in the market to really shift off of that plan?
Chris Stavros: Yeah. No, I understand. So I mean if you're suggesting something more similar to what we saw in 2022 with much higher product prices, we didn’t -- I mean, we may have spent a little bit more, been a little bit more active, but generally not. We don't sort of tailor the plan specifically around believing that oil prices or gas prices are going to sort of run much higher. We sort of go into the year with a generally a set plan and should things be a whole lot better in terms of pricing, the money sort of accrues just like it did in 2022. I wouldn't expect to sort of follow along there and just use all the money to drill more and grow at much higher rates. So if that's what you're asking, the answer is really no.
Brian Corales: And, Paul, in 2022, we spent about a third of our money, a third of our EBITDAX to put it in perspective.
Paul Diamond: Understood. Appreciate it. And then just one more quick one more on [the inflationary bent] (ph). I know earlier this year, you guys talked about how cost and expenses were well above what you thought was an appropriate price. I guess, just want to get your idea of how close you think we are now or in coming quarters to that more, I guess, a decent run rate level for the long term?
Chris Stavros: Yeah. Look, our teams have done a great job around that. And I'm really pleased that we got at it early this year because we wouldn't have seen the realized benefits that we did -- we have, we saved a bunch of money. And we also positioned ourselves very good in the back half of the year, and it gives us a lot of flexibility and more certainty going into next year. So sort of 20%, as I said, point to point, I think, is pretty good. My sense around this is that for gas, it's going to be sort of a very weather driven event here in terms of pricing. And it feels -- and this is just me talking, it feels like the rig count and just some of the commentary around activity feels like it's bottoming. And so if that's correct, you may have seen most of the improvements or lower costs that you'll likely see. I say most of it. Will we see a little bit more? Perhaps. If the economy softens into next year, there could be some additional savings that work their way in, but I'm not necessarily counting on that. I'm just counting on what I know right now. What I know is that we have some things locked in for a portion of '24 that makes me feel pretty good.
Paul Diamond: Understood. Thanks for the clarity.
Chris Stavros: Okay, thanks.
Operator: And we will take a question now from Sean Mitchell from Simmons. Sean, please go ahead.
Sean Mitchell: Hi, thanks for taking the question. I just wanted to, and this is kind of back to the question that was just asked, you guys talked last quarter about OCTG being down almost 30%. It seemed like you guys were feeling really good about where you were from a service cost perspective, and obviously, the costs are rolling through. Given the rig count has taken another pretty substantial leg lower here sequentially relative to where we were the last time we talked to you on the call, I mean, I assume you're feeling better about your position. Is there any one particular area that you're seeing kind of more pricing sensitivity than others? I mean OCTG was a great example on the last call. I'm just wondering if there's anything you can point to on this call.
Chris Stavros: Yeah, thanks, Sean. I guess I would say steel for now, steel prices have been still working in our favor. Again, as I said just previously, it's hard to really say how this might change just in terms of the impact of steel inventory, steel productivity, steel outcome at mills, steel imports, et cetera. Hard for me to really say, but it still feels pretty good as we exit this year and start to move into 2024. Much of this is going to be centered around the global economic picture and what we see around the world, which some people would tell you not all that great right now. On the other hand, there might be some people that feel differently. But right now, I think there's softness there.
Sean Mitchell: Got it. Thanks, guys. Appreciate it.
Chris Stavros: Okay, thanks.
Operator: And this concludes our question-and-answer session and this conference. We thank you very much for attending today's presentation, and you may now disconnect. Have a good day.
Chris Stavros: Thank you.